Operator: Greetings. And welcome to the Lexington Realty Trust Third Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Gabby Reyes, Investor Relations for Lexington Realty Trust. Thank you. You may begin.
Gabby Reyes: Hello. And welcome to the Lexington Reality Trust third quarter 2014 conference call. The earnings press release was distributed over the wire this morning and the release and supplemental disclosure package will be furnished on the Form 8-K. In the press release and supplemental disclosure package, Lexington has reconciled all historical non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirement. If you did not receive the copy, these documents are available on Lexington’s website at www.lxp.com in the Investor section. Additionally, we are hosting a live webcast of today’s call, which you can access in the same section. At this time, we’d like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although, Lexington believes expectations reflected in any forward-looking statements are based on reasonable assumptions, Lexington can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today’s press release and from time-to-time in Lexington’s filings with the SEC and include the successful confirmation of any lease, acquisition, build-to-suit, financing or other transactions or the final terms of any such transaction. Lexington does not undertake a duty to update any forward-looking statements. Joining me today from management are Will Eglin, Chief Executive Officer; Robert Roskind, Chairman; and Patrick Carroll, Chief Financial Officer. Now I will turn the call over to Will.
Will Eglin: Thanks, Gabby, and welcome everyone. Thank you for the joining the call today. I would like to begin by discussing our operating results and accomplishments for the quarter. For the third quarter of 2014, our company funds from operations as adjusted were $0.28 per share, a 12% increase compared to the third quarter of 2013, primarily driven by investment activity over the past year and refinancing savings. In the quarter, we invested $51 million in on-going build-to-suit projects and loan investments, and sold five properties for $52.6 million consistent with our portfolio management and capital recycling objectives. Our strong and steady leasing work continued and we executed leases totaling approximately 510,000 square feet, ending the quarter with a more balanced rollover schedule and our overall portfolio 97.6% leased, down slightly compared to second quarter. These accomplishments furthered our objectives to continually improve our portfolio and strengthen our cash flows, while also reducing the risk associated with lease rollover. We remained active in the single tenant transaction market and our investment pipeline continues to be strong, especially looking ahead for 2015. In the third quarter, we continued funding multiple underway build-to-suit projects and placed $155 million forward purchase industrial investment under contract. This asset is located in Richland, Washington and will be a 456,000 square foot cold-storage warehouse and distribution facility for preferred freezer services, which will service a 20-year contract with ConAgra Foods at this location. Subsequent to quarter, we also acquired two properties for $49.5 million bring our total capital invested in 2014 to $248.2 million. These two investments were land parcel on West 45th Street in New York City subject to a 99-year ground lease to an operating hotel and a rehabilitation facility leased to HealthSouth rated BB minus for 28 years with annual CPI escalations with no maximum. Our current expectation for 2014 investment activity is with the range of $300 million to $350 million, based on projects underway or under contract and volume in 2015 is expected to comparable, based upon current contractual commitments, and we continue to work diligently on new projects to add to our pipeline. Cap rates on our forward build-to-suit and purchase pipeline averaged about 7.2% on a cash basis and 8.5% on a GAAP basis. At this point in the cycle, build-to-suit and forward purchase transactions continued to be our favorite investment strategies. While build-to-suits do not generate cash flow or funds from operations until construction is completed, we believe this strategy creates significant value for shareholders by adding modern buildings with long-term leases to the portfolio and capturing stabilized yields well above current cap rates in the purchase market. Accordingly, we believe this strategy has the potential to drive growth and shareholder value. In addition, we believe the long-term leases with escalating rents we have been adding to the portfolio are strengthening our future cash flows, extending our weighted average lease term, balancing our lease expiration schedule, reducing the average age of our portfolio, and supporting our dividend growth objectives. We continue to execute our disposition strategy. And in the third quarter, we made good progress on our capital recycling efforts, selling $52.6 million of non-core assets from the portfolio, consisting of two small retail properties, a vacant multi-tenant office property and under leased multi-tenant office property and a single tenant industrial property on a short-term lease. The two multi-tenanted office properties were sold to users and three of the sales were in tertiary markets. We continue to focus our efforts on dispositions from a strategic perspective, augmenting the transformation of our portfolio and providing cost effective timely capital to support investment activity while executing strategy that will reduce our office exposure, so that our portfolio is concentrated in fewer larger markets. On page 20 of our supplemental, we have included a table showing the markets where we drive most of our single-tenant office revenue. Our current expectation for 2014 is that dispositions will be approximately $200 million to $300 million. Asset values have continued to rise this year, making dispositions an even more attractive option for us and capital recycling is also likely to continue at a comparable, if not greater pace, in 2015, with the focus on legalizing values on a multi-tenant properties with high level of occupancy. Such capital recycling will allow us to create liquidity should we stay ahead of our capital needs with respect to our investment pipeline although this approach may have a near-term dilutive impact on funds from operations. As we have stated before, one of our strategic objectives with our disposition activity is to achieve a better balance between office and industrial revenue in the part of our portfolio that has lease term shorter than 10 years. Recently, the office-to-industrial revenue mix in this part of our portfolio has been about 3 to 1. And we continue to be focused on managing this ratio down to about 2 to 1 over the next several years. The targeted sale of certain office buildings will speed this transition and make our portfolio less capital intensive to manage. With regard to our leasing, we’ve continued to achieve a steady pace of activity. In the third quarter of 2014, we executed approximately 510,000 square feet of new leases in lease expansions and our 2015 explorations now represent just about 3% of our GAAP revenue. During the quarter, we have leases totaling 227,000 square feet which expired and were not renewed or were terminated. Overall during the quarter, we extended five leases with annual GAAP rents of $5.6 million, which is 12.2% less than the previous rents. And cash rents declined 16.9% on renewals consistent with our prior commentary. Our same-store cash net operating income increased 22% for the first nine months of 2014 and decreased 0.4% during the third quarter of 2014, primarily reflecting the impact of negative leasing spreads on renewals. Looking forward, renewal rents were likely to be under pressure throughout 2015 before improving in 2016. We currently have 3.2 million square feet of space which is vacant or subject to leases that expire through 2015. We believe that by the end of 2015, we can address roughly half of such expiring or vacant square footage primarily through dispositions and secondarily through releasing. We are expecting non-renewals on our remaining 2014 single-tenant office lease expirations. And we have three single-tenant office leases expiring through June 30, 2015, where we expect non-renewals. Together these eight properties generate approximately $17 million of annual revenue and four are unencumbered by $61.9 million of mortgage debt which we believe exceeds the as vacant building value. At the current time, our expectation is that these four buildings and an additional building in Houston, Texas for the $11.5 million of mortgage debt will be conveyed to satisfy these non-recourse mortgages during 2015, absent substantive renegotiation. Our current assumption is that the remaining four properties will be vacant through the end of 2015. Beginning in the second half of 2015, we expect tenant retention to improve, putting this concentrated period of tenant move outs behind us for good as we move forward with a portfolio with a substantially lower risk profile. Beyond this, as we execute our acquisition and capital recycling strategy, we expect that our portfolio is likely to include a greater number of leases with annual or other rent increases which we ultimately expect will support a sustained healthy growth rate in net operating income. As a result of our leasing activity in new investments for the nine months ended September 30, 2014, approximately 41% of our revenue came from leases of 10 years or longer. And we are well on our way to achieving our interim goal of deriving at least half of our revenue from leases 10 years or longer. Once this target is achieved, we will raise the target further and continue building a diversified portfolio of long-term net leases with stable growing cash flow. Our single tenant lease rollover through 2019 has been reduced to 31.4% of revenue from 43.2% of revenue one year ago. And we no longer have concentrated risk of lease rollover in any one year. By any measure, we have made very good progress in managing down our shorter-term leases and extending our weighted average lease term which is now approximately 11.4 years on a cash basis. Each of these metrics is an important measure of cash flow stability and we will continue to be focused on further improvement. The composition of our balance sheet has continued to improve this year. And we have included details in our supplemental disclosure package on pages 23 and 24 showing our credit metrics. We continue to pursue our goal of having 65% to 70% of our assets unencumbered and have reduced our secured debt to less than 20% of those assets which is a target that we have been working towards for a considerable time Our company has few new term debt maturities. Through 2015, we believe approximately $150 million of secured balloon debt will leave the balance sheet in connection with dispositions and approximately $112 million of balloon maturities are expected to be refinanced with unsecured debt. In addition, we will retire approximately $35 million of secured debt through regular principal amortization. While we continue to unencumbered assets from time to time, we may access secured financing when we believe it is advantageous to do, particularly in connection with ground sale-leaseback transactions or financing for a term longer than 10 years is available where we can effectively monetize the remaining revenue from the assets such as in a credit tenant lease financing. Through 2015, secured financing could total as much as $80 million. We believe our company has substantial financial flexibility with approximately $383.9 million of current availability under its revolving credit facility and a stronger than unusual cash position. We continue to be biased in favor of dispositions and maintaining line capacity and cash, as we continue adding build-to-suit projects to our pipeline. Our forward funding project currently totaled approximately $504.2 million, with about $414.1 million remaining to be funded. At the end of the quarter, our weighted average cost of debt was 4.5% and our weighted average term to maturity was 7.1 years. We continue to believe that current rates on long-term financing remain quite attractive and that there is great value in locking-in fixed rates on long-term debt at this time. Turning to guidance. We are adjusting upward our company funds from operations as adjusted per share guidance by $0.01 per share at the bottom end of our prior range to new range of $1.09 to $1.11 per share. We expect to provide 2015 guidance in February when we report fourth quarter and full year 2014 results. In the interim, please note our comments today with respect to occupancy, leasing spreads and the near-term dilutive effect of sales when considering our prospects for next year. In summary, it was a good quarter for Lexington and we believe our achievements position the company for continued success. We remain committed to our strategy of enhancing cash flow growth and stability, growing our portfolio in a disciplined manner with attractive long-term lease investments and maintaining a strong flexible balance sheet to allow us to act on opportunities as they arise. Now, I will turn the call over to Pat who will take you through our results in more detail.
Patrick Carroll: Thanks Will. During the quarter, Lexington had gross revenues of $109.5 million, comprised primarily of lease rents and tenant reimbursements. The increase compared to the third quarter of 2013 of $16.5 million relates primarily to acquisitions and build-to-suit projects coming on line. For the quarter and nine months ended September 30, 2014, GAAP rents were in excess of cash rents by approximately $13 million and $29 million respectively. On page 18 of the supplement, we have included our estimates of both, cash and GAAP rents for the remainder of 2014, through and including 2018, for leases in place as of September 30, 2014. We have also included same-store NOI data and the weighted average lease term of our portfolio as of September 30, 2014 and 2013. Property operating expenses increased $1.8 million, primarily due to the increased use in occupancy in multi-tenanted properties with base year cost structures, the acquisitions of properties with full recovery of operating expenses and the net impact of management of certain properties being transferred between us and the tenant. Non-operating income increased $3.3 million relating primarily to interest earned on our loan portfolio. In the third quarter of 2014, we recorded $2.8 million in property impairments and $18.5 million on gains on sales of properties. Interest and amortization expense increased $2.9 million primarily due to the issuance of our 4.4% bonds and the $213.5 million mortgage on our New York City land deals. On page 41 of the supplement, we have disclosed selected income statement data for our consolidated but non-wholly owned properties in our joint venture investments. We also have included net non-cash interest recognized in the nine months ended September 30, 2014 on page 42 of the supplement. For the nine months ended September 30, 2014, our interest coverage was approximately 3.2 times and net debt to EBTIDA of approximately 6.2 times. Now turning to the balance sheet, we believe our balance sheet is strong, as we have continued to increase our financial flexibility and capacity. We had a $171.1 million of cash at quarter end including cash classified as restricted. Restricted cash balances relate to money primarily held with lenders, as escrow deposits on mortgages and money held at a 1031 exchange agent. At quarter end, we had about $2.2 billion of consolidated debt outstanding, which had a weighted average interest rate of 4.5%, of which 100% is at fixed rates. We have entered into LIBOR swaps on both the $255 million outstanding on our term loan which matures in 2019 and the $250 million outstanding on our term loan which matures in 2018. The current spread components on our 2019 term loan can range from 1.5% to 2.25% and is currently 1.75%. And on the 2018 term loan, can range from 1.1% to 2.1% and is currently 1.35%. The significant components of other assets and liabilities are included on page 42 of our supplement. During the quarter ended September 30, 2014, we paid approximately $1.9 million in lease costs and approximately $2 million in tenant improvements. For the balance of 2014, we project to spend approximately $10 million in lease costs. We have also included on page 14 of the supplement, the funding projections on our four current build-to-suit projects and our forward commitment, along with the historical NOI recognized on build-to-suit projects that have come online. As it relates to build-to-suit projects, since we fund the construction cost and have taken out upon completion, we do not recognize interest income during construction nor any rental revenue until the project is complete in the tenant take occupancy. Our basis in the project upon completion is the actual cash we spend in the funding, plus any capitalized costs we have recognized in accordance with GAAP. We capitalized interest using our overall borrowing rate, which is approximately 4.5%. Now I would like to turn the call back over to Will.
Wilson Eglin: Thanks, Pat. As we look ahead to 2015, we expect to continue to execute on our strategies to build an even better and stronger company, especially after dealing with the leasing challenges through the first half of 2015. The impact of our acquisition activity, combined with our capital recycling, is improving the composition of our portfolio and is driving long-term cash flows that are far more secure, given our extended weighted average lease term and the number of leases we have with annual or other escalations. We expect to continue to execute proactively on leasing opportunities in order to maintain high levels of occupancy and further address lease expirations, unlock values on non-core properties and certain fully valued properties with the bias toward reducing our suburban office and multi-tenant exposure, capitalize on refinancing opportunities, and finally continue to invest in build-to-suit properties and other investments to drive cash flow growth and value for all shareholders. We believe our company remains well-positioned with an attractive dividend yields, a conservative payout ratio and a strong cash position. We are encouraged by the opportunity to continue to execute on our strategies to improve cash flow, enhance our portfolio and provide ongoing value creation for our shareholders. Operator, I have no further comments at this time, so we are ready for you to conduct the question-and-answer portion of the call.
Operator: (Operator Instructions) Our first question is coming from the line of Sheila McGrath with Evercore ISI. Please proceed with your question.
Sheila McGrath - Evercore ISI: Yes, good morning. Will, I was wondering if you could talk about the ground lease transaction in the quarter and remind us how you underwrite those transactions and where is the property in Manhattan?
Wilson Eglin: Sure, Sheila. It’s essentially a mirror transaction to the one that we did a year ago on the three ground parcels in Manhattan and it’s the same party involved. So it’s a 99-year ground lease, the going in cap rate is about 4.93%, and the annual escalations are 2%, but every 10 years, there is a CPI adjustment up to 3%. So there is a little bit more inflation protection than you typically see in a build-to-suit. And every 25 years, there is an option to purchase the ground at a value that would give us the 7.5% free and clear internal rate of return. We find that very attractive compared to a free and clear IRR and many of the build-to-suit office buildings that we look at. And there is great financing available on transactions like this. If you recall last year on Manhattan ground transaction, we financed our purchase with 70% loan-to-value financing at an interest rate of about 4%, I think 4.66% on a fixed rate basis. We haven’t decided how we are going to finance this purchase, but if we were to use secured financing, leverage of greater than 80% is available and the 10-year interest rate would be about 4.25. So we are very pleased with that investment. And it’s ground on West 45th Street between 5th and 6th Avenue.
Sheila McGrath - Evercore ISI: Should we expect more of these ground lease transactions from Lexington?
Wilson Eglin: We would like there to be more. There is nothing of significance that’s in the pipeline, but we continue to be interested in building our portfolio of ground investments or other assets where most of the value is in the land and less is in the improvements.
Sheila McGrath - Evercore ISI: Okay. And then could you comment on the turmoil at ARCP and related entities? It makes most people think they will probably be less active buyer. And I am just wondering your view might this free up more acquisition opportunities for Lexington?
Wilson Eglin: Well, time will time. There have been a couple of transactions that have come back to the market this week, whether that’s related specifically to the ARCP situation or not. It’s not clear. But market participants are well aware that ARCP has been veracious acquirer of net lease properties for several years. And to the extent that their growth ambitious are curtailed that should mean that our investment opportunities for the rest of us sure engaged in this business.
Sheila McGrath - Evercore ISI: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of John Guinee with Stifel. Please proceed with your question.
John Guinee - Stifel: Great. Okay. Thanks. Let me just kind of go through page-by-page. First on Richland, Washington industrial $155 million, that’s an awfully big, industrial building, how big is that thing?
Patrick Carroll: 256,000 square feet, John. And two-thirds of it is freezer space.
John Guinee - Stifel: So what’s that on a price per pound?
Patrick Carroll: That’s about $350 a foot.
John Guinee - Stifel: Okay. So this is really a CBD office building disguised as a freezer warehouse?
Patrick Carroll: Well, no, it’s just highly mechanized and obviously, it has very expensive improvements in it.
John Guinee - Stifel: Great. Okay. Then the next page on dispositions, interesting, the primary sale was San Antonio industrial sort of 9-ish cap, can you talk through why you decided to sell that for a $41 million?
Patrick Carroll: While it was a shorter term lease, John, and actually that building had a high component of office space as well. I mean, on a square footage basis, it was more industrial than office but it did have a very high component of office space. The tenant was leaving that building and so it made sense for us even though with a high -- fairly high cap rate we thought on a per foot basis it was an attractive exit price for us.
John Guinee - Stifel: Great. Okay. And then Lake Mary, you did a five-year extension with J.P. Morgan like Marriott which is north of Orlando? Looks like about the 15% net rent roll down? What kind of a TI leasing commission package went with that, if anything?
Patrick Carroll: Hold on John. There were no TIs, John.
John Guinee - Stifel: Okay.
Patrick Carroll: And there was some leasing commissions but no TIs and about $170,000 of leasing commissions on each property.
John Guinee - Stifel: Okay. And then -- but you had mentioned, Pat, about $300 -- I think you had mentioned $10 million of TI and leasing commission spend in the fourth quarter?
Patrick Carroll: That’s right.
John Guinee - Stifel: What’s that growth relate to?
Patrick Carroll: It’s on deal that we’ve done. It’s on various deals, but about half of it is on deals that we’ve signed up already this year, with the actual payout on commissions that we’ve -- actually we have TIs that we’ve given to other leases that we signed, but…
John Guinee - Stifel: Okay. Is it $10 million for TIs or $10 million for TIs and leasing commissions?
Patrick Carroll: Both.
John Guinee - Stifel: Okay. And all right, and then, if I’m going through page, I guess 11, you provide, you have a company reported FFO and then you have a company FFO as adjusted? Do you report a NAREIT defined FFO anywhere?
Patrick Carroll: We show FFO on a fully diluted basis and everything that can convert, does convert and that’s how we feel -- that’s how we manage our business we feel the best way to monitor.
John Guinee - Stifel: Okay. But so you do not provide a NAREIT defined number from which to then work off of to get to yours?
Patrick Carroll: No. We show -- we start with net income available to common shareholders and we adjusted down for diluted securities or securities that can convert, I should say.
John Guinee - Stifel: We never stop anywhere in the process to get a NAREIT defined FFO?
Patrick Carroll: No.
John Guinee - Stifel: Okay. Got you. All right. And going through the supplemental sort of page by page, let see here, we talked about Lake Mary? Can you roll through specifically what leases will or -- on page 31 and I guess, 33 are gone, Bridgewater, New Jersey, did they leave and then Issaquah, Rochester, Canonsburg?
Patrick Carroll: Yeah. What we’ve said in our comments, John, was that our tenants for the fourth quarter lease expirations were leaving.
John Guinee - Stifel: Okay. So this is all five of them. Okay.
Will Eglin: Yes.
John Guinee - Stifel: All five at the office are leaving, right?
Will Eglin: Correct.
John Guinee - Stifel: Okay. And then in ’15, which ones are leaving?
Will Eglin: It’s Federal-Mogul, Southfield Michigan, Lakewood Colorado, and Foxboro Massachusetts.
John Guinee - Stifel: Okay. And then none of the other ones in ’15 as of now, or you just don’t have clarity on it?
Will Eglin: There maybe a vacancy or two later in the year but retention gets better. So we’re fairly optimistic about how rollover will be in the second half of the year.
John Guinee - Stifel: Just out of curiosity, are most of these the inland portfolio that got put back or is it a mix?
Will Eglin: No. It’s a mix.
John Guinee - Stifel: Okay. And then if I go to page 33 on the industrial properties in ’15, any of those -- they’re kind of minor or any of those?
Patrick Carroll: Yeah. We got a short-term extension from SKF USA but we don’t think we’ll be in that building long-term but that is very small. And the other two we have, we have discussions ongoing.
John Guinee - Stifel: Okay. And then so when I get to page 36, thank god for assets specific debt imputed sales. I guess, Issaquah is back to the lender. What else on this list goes back to the lender? Houston, Texas?
Patrick Carroll: Issaquah, Houston, Texas, Rochester and Bridgewater.
John Guinee - Stifel: Okay. Okay. And then if I go back to, down to page 40, you’ve got about $133 million of notes receivable. It looks like Norwalk, $33 million. If I look at footnote three, interest rate increasing to 12.5% that implies a default going from 7.5 to 12.5. What we should we think about as a good value of that loan?
Patrick Carroll: The borrower essentially asked for a six-week extension to refinance us and so we said great but we’ll take the default rate for such a short-term extension. So right now, we expect the loan to be fully repaid in 4Q.
Will Eglin: On December 1st.
John Guinee - Stifel: Good. Okay. You are going to drive up there and pick up the check. Okay. Westmont, Illinoi, the loan balance is $12.3. Balloon payment is $25.7 million. What exactly does that mean? And how should we look at that value of that mortgage loan receivable?
Will Eglin: We previously wrote the loan balance down. We took about a $14 million impairment charge, give or take and we wrote it down is what we felt the underlying value of the property was, which is the $12.3 million.
John Guinee - Stifel: Got you. Okay. And then Washington -- refresh our memory, why was the Kennewick, Washington structured as a loan? That s a hospital, I think right?
Will Eglin: Yeah. That’s right.
John Guinee - Stifel: Okay. Perfect. Perfect. Perfect. Okay. Great. Great. Great. Any chance -- last question, any chance given what’s happening to other names in the triple-net space that you guys would sort of comply with what NAREIT would like and start with a NAREIT defined FFO and working your way down the company to defined FFO?
Patrick Carroll: We can do anything. John, that’s fine. I mean, I think the way we do it and we’ve been doing it this way since Lexington started is more indicative of our business. But you can do stop loss anywhere in the calculation of FFO. We think by showing it, as every thing coverts though and showing the denominator of our calculation show a fully diluted position. It’s honestly the best presentation. But that’s also we can address again in fourth quarter.
John Guinee - Stifel: Right. Okay. And then I’ll ask one more question. I think, Sheila had mentioned this. Will, you clearly like the long-term ground lease position, 7.5% look back. Is that a business that could become 30%, 40%, 50% of your portfolio?
Will Eglin: We really don’t have visibility on a large pipeline of acquisitions that would contemplate that it could get that big. But we continued to work on generating transactions, but I don’t see the volumes escalating to the point where it would become that big a piece of our business. But we’d like to have more of it, but that would be pretty ambitious to view it as being one third of the company.
John Guinee - Stifel: I think your basic premise is land doesn’t depreciate hard asset do.
Will Eglin: Yeah. Well, some hard assets do. Certainly in suburban office, there is risk of obsolescence more so than in other asset types. So having land positions as you point out is a good hedge against that risk in suburban office specifically.
John Guinee - Stifel: Great. Wonderful disclosure. Thanks for everything. Have a good holiday.
Will Eglin: Thank you, John.
Operator: Thank you. Our next question is coming from the line of Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman - KeyBanc Capital Markets: Hey guys. Just a follow-up on the land acquisition, just given the dilutive going in return and maybe you asked that bought down [$125] (ph) or 17-ish percent return kind of how do you view that versus really getting the delays economic outside from a build-to-suit but typically much better economics?
Will Eglin: Well, we met with the economics by our expected IRR Craig. So you are right, some investments have high current return and that s a component of their internal rate of return, others have more capital appreciation. So we looked at it as a long-term accretive investment. And if we financed it as well as we think we can, we’ll probably -- there is a chance we could generate above an 8%cash-on-cash return in year one. So for some thing that’s so safe that seems pretty appealing to me.
Craig Mailman - KeyBanc Capital Markets: Okay. And then you had mentioned that the pipeline is looking good for ‘15. I know you have not given guidance yet but just for what you said today, do you think that investment activity could ramp relative to 2014 or it’s too early?
Will Eglin: Well, right now based upon what we are contractually committed to, its comparable to this year, we’re a little bit more .So that’s a great position going into next year. Obviously we are working on lots of things. And we hope that our pipeline will continue to grow. And as discussed earlier, there has been some disruption in the market place recently, that might create additional transaction opportunity for us. So we’re very optimistic as we look at next year.
Craig Mailman - KeyBanc Capital Markets: Okay. And just one last one, 100 Light Street has been talked about in the past about being a disposition candidate. Where are you guys in the process, when do you think potential timing could be?
Will Eglin: We are working on marketing material for 100 Light Street. So our expectation is that we would test the market for that building, yes, probably early next year at this point. It is very highly occupied but there is a little bit of leasing opportunity that we like to see if we can capitalize on in the interim.
Craig Mailman - KeyBanc Capital Markets: Perfect. Thank you, guys.
Operator: Thank you. Our next question is coming from the line of Anthony Paolone with J.P. Morgan. Please proceed with your question.
Anthony Paolone - J.P. Morgan: Thanks. I should I have a couple left. Will, you mentioned the magnitude of the roll downs on renewals in ‘15?
Will Eglin: Consistent with what we’ve said before, Tony, we think that leasing spread in offices it has been but we are still on 15% to 20% down scenario on those renewals. The dynamic is that we have property funding off of 10-year lease, the rent is going up 2% a year for 10 years, and it’s got the deployment where it’s above markets. So we still have that dynamic inside the portfolio next year. Our view with respect to 2016 is that on renewals on an overall basis, we think we could be neutral to slightly ahead, but 2015 we still have some negative leasing spreads that continue to work through.
Anthony Paolone - J.P. Morgan: Okay. And then anyway to put some numbers around what percentage of the portfolio you really long-term would like to get rid of. I mean instead of light street and some other things, it sounds like you want on unload just if you could do it all at once, what would be the magnitude of that?
Will Eglin: Well, as we look ahead, I think that in our minds we really, really like about 85% of our portfolio. So that means that we still have quite a few candidates for sale or capital recycling.
Anthony Paolone - J.P. Morgan: Okay. And then last question on page 25 of the packet where you have your financial covenants. The one thing I just want to clarify since we want to talk about the land. In the ground lease covenant, I think it’s E -- row E, is that buildings that you own that are subject to ground leases, or is that like the New York land where you actually own the fee?
Will Eglin: No, that properties where we only -- we don’t own the land and we only own the improvements.
Anthony Paolone - J.P. Morgan: Okay. Got it.
Will Eglin: So these new actually land deals are not in that number.
Anthony Paolone - J.P. Morgan: Right. Okay. That makes sense then. Thank you.
Operator: Thank you. Our next question is coming from the line of Tayo Okusanya with Jefferies. Please proceed with your question.
Tayo Okusanya - Jefferies: Yes. Good morning. Just two for me. First of all, the positive comments that you made about your investment outlook, would that pertain just to your acquisition outlook or does that also include BTS, the build-to-suit business?
Will Eglin: Both yes.
Tayo Okusanya - Jefferies: So it is both, okay. That’s helpful. And then for the rehab hospital acquisition that was made. Just taking a look at that cash yield of 5-inch, I guess when I compare that against other rehab acquisitions of some of the health care recently, HealthTap somewhat new. Just kind of curious how that transaction transpire and how you felt comfortable with that pricing?
Will Eglin: Yeah. What was interesting to us Tayo is that we have a 28-year lease there with HealthTap and there are annual escalations tied to CPI without any cap. So to be able to acquire a long-term lease with credit behind it, which essentially has unlimited inflation protection, I know that we are in an environment where no one is nervous about inflation but 28 years is a long time. So we thought that that was a rare opportunity to be able to like I said buy a long-term lease with credit with unlimited inflation protection.
Tayo Okusanya - Jefferies: Could you give me a sense of what the rent coverage is on that transaction?
Will Eglin: From it’s direct with HealthTap, so we have -- that would be minus. Yeah, we have the corporate fair number for the guarantee on the lease.
Tayo Okusanya - Jefferies: For the guarantee, okay. That’s good enough. Okay. Thank you very much.
Operator: Thank you. Our next question is coming from the line of Geoff Dancey with Cutler Capital Management. Please proceed with your question.
Geoff Dancey - Cutler Capital Management: Thanks. Actually my questions have been answered.
Operator: Thank you. It appears there are no further questions at this time. I would like to turn the floor back over to Mr. Eglin for any additional concluding comments.
Will Eglin: Well, thanks all of you for joining us this morning. We are very excited about our prospects for the balance of this year and beyond. And as always, we appreciate your participation and support. If you would like to receive our quarterly supplemental package, please contact Gabriela Reyes or you can find additional information on the company at our website www.lxp.com. And in addition, as always, you may contact me or the other members of our senior management team with any questions. Thanks again.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. We thank you for your participation and you may disconnect your lines at this time.